Bart Vanhaeren: Hello, everyone, and welcome to our second quarter 2025 results call. This event is being recorded. Our speakers today will be our CEO, Marcelo Benitez; and myself, Bart Vanhaeren, CFO of the company. The slides for today's presentation are available on our website, along with the earnings release and our financial statements. Now please turn to Slide 2 for the safe harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and which could have a material impact on our results. On Slide 3, we define the non-IFRS metrics that we will reference throughout this presentation. And you can find reconciliation tables at the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Marcelo Benitez.
Marcelo Benitez: Thanks, Bart. Good morning, everyone, and thank you for joining us today. The second quarter of 2025 was a defining moment in our journey, one where strong operational execution met with strategic acceleration. We're firing on all cylinders across commercial, financial and strategic fronts, and we're doing it with disciplined focus and results. Most importantly, we are right on track to deliver our commitment of $750 million in equity free cash flow for the year. This was a quarter of strategic acceleration. We executed 3 major milestones in just a few weeks. acquisition of Telefónica's Uruguay operations, definitive agreement for Telefónica Ecuador and the partial closing of our infrastructure transaction with SBA. We unlocked over $500 million in proceeds, declaring a special interim dividend of $2.5 per share, a clear sign of our confidence and capital discipline. To mark this pivotal momentum, we rang the NASDAQ opening bell in June, together with the Tigo top management team, a symbolic step forward as we deepened our footprint in South America and reaffirm our long-term commitment to the region and to shareholder value. Now turning to our performance. We added nearly 250,000 net postpaid customers, up from 178,000 a year ago. Home gained 41,000 customers, nearly 4x more than Q2 last year. Commercial traction and efficiencies are delivering profitable growth. Adjusted EBITDA reached a new high of 46.7%, up 3.2 points year-over-year. In this quarter, more than half of our operations achieved margins above 50%. Equity free cash flow for the quarter came at $218 million, bringing our H1 total to $395 million, $126 million ahead of last year. Leverage dropped to 2.18x, and we remain committed to keeping leverage below 2.5x. In short, we're not just growing. We are growing the right way. Now let's review each of these highlights in more detail, beginning with the mobile business on the next slide. Over the past quarter, we've seen promising results across our core business. Our mobile business outperformed expectations in Q2. On the right, you can see that our mobile business grew by mid-single digit this quarter, an acceleration from 3.1% in previous quarter. Zooming in into our main segments, prepaid fast tracked on the back of higher ARPU, while postpaid continued propelled by momentum with an amazing 14% growth in base, reaching near 9 million customers. We are executing the playbook, pre- to post migrations, network upgrades and convergence, all designed to build lifetime value and reduce churn. Now please turn to the next slide to look at our Home business. We added 41,000 Home customers in the quarter, about 4x the intake we saw in Q2 last year. This is a remarkable growth of nearly 6% year-on-year. Our broadband customer base was up roughly 8%. Pay TV is flat, while fixed telephony is in structural decline, mainly displayed by mobile. Although service revenue remained slightly negative at minus 1.4%, that's a major improvement from minus 6.1% last year. The trajectory suggests that our recovery efforts are gaining traction, and we're optimistic about positive growth in the second half of 2025. Our strategic playbook is fully in motion. We are scaling our networks through targeted capital deployment, delivering faster broadband experiences to more customers, boosting go-to-market efficiency with smarter, leaner execution and accelerating convergence across mobile and fixed. Now please turn to the next slide for a brief glance at our B2B business. Service revenue grew nearly 4% organically, fueled by 16% CAGR in digital services over the past 2 years and 13% year-on-year increase in mobile B2B, an acceleration from Q1. At the same time, we expanded our SME base by 6% year-on-year, strengthening our position in this very important segment. Now let's review our performance in the 3 largest countries, beginning with Colombia on the next slide. This slide underscores 3 main takeaways. In Colombia, service revenue accelerated to nearly 5% year-over-year on an organic basis, stepping up from 3.6% in the previous quarter. This performance uplift is fueled by mobile postpaid with customer base growing by 15%, surpassing the 4 million mark and Home that did the same at a rate of 12% year-on-year. All this sustaining a notable adjusted EBITDA margin of 39.5% despite higher commercial investments supporting top line growth. Congratulations to our outstanding team in Colombia. Your strong commitment and disciplined execution are powering this extraordinary momentum. Now please turn to the next slide to look at Guatemala. We are delighted to see that our postpaid customer base expanded 20% year- over-year, triggering healthy growth in the mobile service revenue of more than 5% in real terms. Organically, the growth went from 1.5% in the previous quarter to 4%. As I mentioned in Q1, one of our levers is the migration of prepaid to postpaid, which is particularly relevant in Guatemala. And to cap it off, operating cash flow reached a record of $191 million this quarter, a clear reflection of strong execution and sustained financial momentum. Great work by our team in Guatemala. The combination of top line growth recovery and focus on efficiency is delivering record-breaking financial results. Please turn to the next slide to look at Panama. This slide highlights another record high adjusted EBITDA margin this quarter, the second in a row. Mobile postpaid customer base grew about 20% year-on-year and mobile service revenues grew 4%. We continue to leverage our postpaid business as a foundational catalyst for steady growth in mobile. Before turning it over to Bart, let me close with our M&A update. We made decisive progress, closed the sale of Lati Paraguay and executed the partial closing of the SBA Tower deal, generating more than $500 million in proceeds. In Costa Rica, we await regulatory approval and target closing in Q1 '26. In Uruguay and Ecuador, we signed definitive agreements and expect approval in Q3 and Q4, respectively. In Colombia, the Coltel acquisition remains on track for Q1 '26 closing. In parallel, we're in active discussions with EPM and aim to reach an agreement as soon as possible. Since negotiations are ongoing, I prefer not to comment further. But as soon as we land something, we will communicate it to the market. Now let me turn the call over to Bart to review the financials for this quarter.
Bart Vanhaeren: Thank you, Marcelo. Now let's look at our financial performance, beginning on Slide 14. Service revenue for the quarter totaled $1.28 billion, representing a year-over-year decline of 5.9% due to the adverse impact of foreign exchange this quarter, causing around $110 million in total FX headwinds. Now about $84 million of this originated in Bolivia, primarily due to the application of accounting standard IAS 21. Excluding FX impact, organic service revenue growth accelerated to 2.4% as our commercial push continues to drive performance. I think the story is clear and revenue is progressing in line with expectations. Mobile postpaid is growing double digit, boosted by pre to postpaid migrations and FMC, while mobile prepaid remains on positive growth, creating the funnel for the future. B2B growth is driven by digital and our Home's business was creating a drag to top line. But as Marcelo explained, we're almost getting to positive territory, which then in turn will naturally uplift our year-over-year growth rate later on. EBITDA was up 1.1% year-on-year to $641 million, now reaching a margin of 46.7%. On an organic basis, EBITDA grew a solid 9.3% in the quarter, up from 6.9% in Q1 '25. This performance reflects ongoing discipline in cost optimization, which is now deep in our DNA and operating leverage, which continue to drive margin enhancement and operational efficiency. As a side note, I want to congratulate our Honduras and Nicaragua teams under the leadership of our GM, Santiago and Mauricio as well as our CFOs, Mauricio and Mario, in joining Club 50. These are our operations with 50% or more EBITDA margin. We now have 5 countries out of 9 in Club 50. As a reminder, starting since last quarter, we've adopted the term adjusted EBITDA in place of EBITDA to align with SEC interpretative guidance. In our case, this was simply a change in label as there is no change to the underlying methodology we have historically applied, providing a consistent analytical view of the business. Equity free cash flow was $218 million in the quarter and $395 million in H1, up almost $126 million compared to $269 million in H1 of last year. This despite already prepaying around $20 million in CapEx originally scheduled for 2026 in order to benefit from an exceptional supplier offer. We continue to make solid progress in working capital management with concrete actions to optimize cash conversion cycles and reduce the seasonality of our cash flow throughout the year. We were able to deliver a strong H1 despite the continued adverse foreign exchange impact, thanks to our efforts to reduce our FX exposure. Reduced FX exposure led to both more sustainable EBITDA margins and better EFCF generation. So we are very pleased to see all these initiatives are now contributing to delivering a strong H1 EFCF. Here as well a reminder, our definition of EFCF includes also both the proceeds and the costs and taxes paid related to Lati asset sales. In line with our approach to isolating recurring cash generation from one-off items, we've highlighted those in gray. The one-offs for the first half of 2025 relate all to Q1 transactions. Let's now look at it on a per country basis per component. First, please turn to Slide 15, where we will drill down further into the service revenue by country. Guatemala service revenue of $358 million represented year-on-year growth of 1.9%. Growth in Guatemala is now sustainable, and we hope to see a good second half of the year as we have a soft comparable from last year's second half. Colombia service revenue of $339 million grew a nice 4.9%. Our Home business in Colombia is now in positive territory, and you can immediately see the effects on top line. Panama service revenue was $170 million, nearly flat year-on-year. The government contracts are now in maintenance stage, so are substantially lower. On top, we had some adverse effects from social unrest caused by social security reforms. Paraguay service revenue was $132 million, which is an increase of 4.6% year-on-year, which is not bad at all. However, this is offset by adverse currency effects. Bolivia service revenue in local currency increased by 7%, effectively showing results from our price increases. However, this is still largely insufficient to cover devaluation. On a positive note, the devaluation now seems to have stabilized, which, if sustained, will allow us to catch up again over time. Service revenue in our other markets comprised of El Salvador, Nicaragua and Costa Rica increased 0.4% in U.S. dollar terms. Note that El Salvador is now larger than Bolivia and together with the possible upcoming inclusions of Ecuador and Uruguay, we may consider restructuring our management and reporting of the portfolio. Now please turn to the next slide for a look at EBITDA by country. Guatemala adjusted EBITDA increased 4.1% year-on-year to $228 million, largely driven by sustained mobile top line growth. We can see here evidence of operational leverage in action. Colombia adjusted EBITDA increased 3.6% year-on-year to $136 million, and the adjusted EBITDA margin was 39.5%. EBITDA growth slowed down compared to the previous quarter as we incurred higher commercial OpEx to support customer base intake. Despite this, the operation was able to deliver better margins versus Q1. Panama adjusted EBITDA grew 2% year-on-year to $92 million, and the adjusted EBITDA margin reached a new record of 51.7%, driven by OpEx discipline. Paraguay adjusted EBITDA grew 9.2% to $69 million in Q2 2025, and the adjusted EBITDA margin was 50.5%, largely driven by top line consistently delivering exceptional operational leverage. Bolivia increased 16.7% to $33 million, improving its margin to 45.5%, mainly from top line acceleration and cost efficiencies. As we made a massive effort on de-dollarization of the cost basis, the margins are sustainable and pave the way for operational leverage even in an environment of devaluation. Adjusted EBITDA in our other segment increased 9.2% in U.S. dollar terms. Now please turn to Slide 17 for a look at equity free cash flow and leverage. As we've already discussed, adjusted EBITDA for the quarter was $641 million, that's up $7 million from last year. Cash CapEx was $201 million, and that's up $47 million from last year, but again includes a prepayment of about $20 million for CapEx scheduled in 2026. Spectrum was $5 million, down $17 million compared to last year due to an equal mix between one-offs last year on spectrum purchases, reduced payment schedule and reduction of performance bond costs resulting from change regulations. Changes in working capital and others were positive at $30 million as we continue to focus on cash management with suppliers. However, this is also $31 million lower than last year as we are now catching up on payments that we froze in Bolivia due to the rapid devaluation and lower collections from government projects in Panama. Taxes paid were $106 million. This is an increase of $24 million, mainly due to increased profitability. Finance charges were $82 million, an improvement of $22 million, thanks to a mix of FX rates, lower gross debt and lower commissions in Bolivia as the devaluation is now recognized under the new IAS 21 standard. Lease payments were $82 million, a decrease of $7 million. Honduras repatriation was $24 million in the quarter, which is very much in line with last year. As a result of all these factors, equity free cash flow for the quarter was $218 million. This is down $50 million compared to Q2 2024, mainly due to the successful effort to stabilize EFCF between quarters and avoid the typical Q1 dip, as I indicated to you during the Q1 call. $125 million dividends were paid as part of our approved dividend policy. Now please turn to the next slide to review our financial targets for 2025, which actually remain unchanged from what we communicated at our Q1 results with 2025 equity free cash flow of around $750 million and year-end leverage below 2.5x. These targets in general, do not include the impact of any of the strategic M&A projects that Marcelo talked about, though depending on the date of closing of each of those projects, we still expect to have the leverage remain below 2.5x at year-end. Finally, as we have just announced, the Board approved an interim dividend of $2.5 per share to be paid in 2 installments, first in October 2025 and then in April 2026. This represents an approximate aggregate dividend of $423 million and reflects our commitment to return value to our shareholders. We are now ready for your questions.
Bart Vanhaeren: We can have the first question.
Marcelo Peev dos Santos: Can you hear me?
Bart Vanhaeren: Yes. Yes. Perfect.
Marcelo Peev dos Santos: Perfect. Well, the first question is about Guatemala. There was a visible improvement there. You mentioned a bit prepaid to postpaid. I just wonder if you could deep dive a bit more on the improvement and on the competitive environment that you're seeing in that country? And the second question is more about CapEx. So you mentioned in the release some acceleration in CapEx to advance revenue generation. What is the outlook for CapEx, especially in the coming years? These are the 2 questions.
Marcelo Benitez: Marcelo, thanks for the questions. On Guatemala, what you can see here is, if you remember last year, we started defending some territories when we were operating alone. So the first quarter was about the stabilization. But at the same time, we started to aggressively migrate our prepaid customers to postpaid. That's where you see the 20% growth. Remember that in Guatemala, the postpaid penetration is one of the lowest of the group. It's only 12%. The target for all the operations is to reach 50%. So there's a long runway for Guatemala to grow on postpaid. What we see additionally to that, we are building more or less 350 new sites in Guatemala to capture new communities or extension of existing communities. All in all, it is to say that we do see sustainable growth predicated on prepaid to postpaid migrations, ARPU increase in prepaid that we are doing -- we did the first half of the year, we will continue to do the second half of the year. Our competitors are following and the new coverage. Regarding the competitive environment, Marcelo, there are some sites where we are going to feel some pressure because we do have very high market share, and this is normal. So this is becoming part of our business as usual. That's why we are more focused on developing ARPU within our existing customer base. So that's what we see going forward. And the question on CapEx. What we did -- the way we are operating is extremely granular. So we do look site by site and node by node. And this allow us to allocate CapEx very, very focused on what are the returns expected there, where the traffic is high, where the disposal to pay is there. So we do expect to be between $650 million -- $650 million to $700 million this year and also to keep more or less that rate in the following years.
Marcelo Peev dos Santos: Just a clarification. When you say that rate is like rate to revenues, should we CapEx to revenues to be more or less that? Is that what we should understand?
Marcelo Benitez: Yes. That will be between 11% to 12% of revenues. But we do look at it as a dollar, right? I mean, because it is very, very granular, and we look -- I mean, the way we look at it is not percentage-wise. The result is 11% to 12%, but we really want to be between $650 million and $700 million.
Bart Vanhaeren: Thank you. Then we have a question from Andreas from DNB Carnegie. He might not be online, so we received a question through the investors@millicom.com. First question, Marcelo, you post accelerating service revenue growth pace in basically all countries. Can you discuss a bit more the drivers for this and how you can maintain these levels or even improve them further?
Marcelo Benitez: Yes. Well, basically, to give you a little bit of context, the constant is the increased demand for data. So in order to capture that, what we are doing is we are increasing the days connected and developing ARPU. So basically, the drivers are in increasing the days connected is the migration from prepaid to postpaid. Remember that we are only at 20% penetration of postpaid over total mobile customer base. There are countries like Peru or that are at 45%, close to 50% and countries like Brazil that are over 50%. Our target is to reach 50% in all the territories. This brings an ARPU uplift of 50% compared to the prepaid ARPU. So there is a long runway there to increase the days connected and also to increase ARPU. The other driver is a price increase. And more or less, the -- since we sell days connected, the traffic increases around 15% every year. So we need to capture that increase through ARPU development. So we are doing price increases in all the countries. So to give you an example, this year, the ARPU increase in prepaid is around 5%. Then we have Home where basically we are focusing on increasing the penetration in low penetrated nodes. So second is to increase the quality of new acquisitions and reducing churn. So with all that, we can see a momentum in new net adds, sustainable new net adds that comes with high quality. And as you see, we are coming from minus 6% to minus 1.4% in service revenue growth, and we do expect that trend to continue in the second half of the year and next year. And last, I mean, we are very serious about convergence. Currently, 25% of all our new sales are convergent. What this brings is a convergent customer has half of the churn of our regular Home customer, and that increases the customer lifetime value. So the more penetration we have on convergence, the more solid is going to be the service revenue growth. And B2B is about SMB volumes and digital solution penetration in medium and large corporations. So we do expect this trend to continue. In Q1, we saw 0% growth in local currency. Now we are at 2.4%, and we expect this trend to continue in Q3 and Q4.
Bart Vanhaeren: Thank you, Marcelo. And the second question from Andreas was solid cost control, but have you identified further potential on the cost side? And is it correct that there is no restructuring costs booked for Q2? Do you expect any additional severance payments, restructuring costs in H2? So maybe I can answer that one. On the cost control, I think most of the big ticket item initiatives were taken last year and completed last year, and we now start to see the full run rate effect of that. So the associated cost with that also were mostly incurred in 2024. We continue to have restructuring costs. I think it's a handful of millions this quarter, but I don't want to call that out as every quarter, there will be something, and it's not, therefore, exceptional in nature. So let's just stick to the reported numbers rather than adjusting for it. We have, at this stage, no significant or material plans for further redundancy. So no big ticket item severance payments expected in H2. Now this being said, the cost control sits now deeply within our DNA. And -- so there's much less exercise to do from HQ and from our local leadership because we're operated like this, but we continue to find opportunities every week. So -- and that's also evidenced by now 2 additional countries getting into Club 50 as we continue to work everywhere to improve margins further, also record EBITDA percentage for Millicom as a group.
Marcelo Benitez: If I can add there, Bart, I mean, our biggest fight is against inertia. So what we're doing is we're still reviewing all the purchase orders from $1 to millions of dollars. But on the other hand, there is a big opportunity in the digitalization of the customer interface journey -- of the customer journey and also the digitalization of our internal processes. So we are exploring new tools. We are using machine learning. We are using AI. We have both agents for sales, et cetera, et cetera. So those initiatives, we do believe that is going to start impacting next year.
Bart Vanhaeren: The last question from Andreas was with regards to cash flow, do you see any material changes to the various line items versus the explanations in Q1? No, I think it's quite steady state with the exceptions for the strategic initiatives that we talked about. So Lati is now partially closed. We also closed a deal in Paraguay on our towers. So that will have an impact on the leases, on revenues and OpEx, it kind of balance each other out. We don't have tenancy income, colocation income from the towers. We also don't have the OpEx associated with the towers, but we have additional leases. That could be a $25 million to $35 million impact on the leases. And otherwise, maybe the currency in Bolivia, it's not different from Q1. IAS 21 is now being adopted. So compared to last year, you will see less cost of commissions or exchange costs in Bolivia, but it immediately flows through the P&L as a whole. So that's a little bit of a shift compared to last year and not compared to Q1. Then we have next question from Eduardo Nieto from JPMorgan.
Eduardo Nieto Leal: So first, I wanted to discuss on your leverage target and the leverage guidance that you gave on under 2.5x. Just first to confirm that, that includes your latest M&A, latest dividends. And just if I think more medium term, if that's the level where you're comfortable or if there's any room to go any lower than that or basically the excess cash is going to be directed either to shareholders or other projects? And then on refinancing, you have mentioned that you want to reduce exposure to dollars. You do have some bond maturities in 2027. So just thinking what you expect for those refi exercises maybe next year, if there's any room to maybe move eventually some of the holdco debt to some of the operations? And just what you're thinking on that front, please?
Bart Vanhaeren: Yes. So on the leverage, 2.5x, so originally, we always said this was excluding the strategic initiatives because they kind of come on top and outside of the budget. But what I can say, so at this time, 2.5x definitely including all of the dividends and special dividends. So that's included, yes. And then depending on the time of closing, I would say, of the different transactions, as Marcelo explained in the presentation, if we follow that path, then yes, we'll still, including the M&A, be around or below 2.5x leverage. We don't expect it to increase significantly above that even if everything should close this year, but we might go a little bit over it to then rapidly decline again on the back of our cash flow generation and EBITDA growth.
Eduardo Nieto Leal: Got it. And then more medium term, I guess, this is the level where you would expect to be?
Bart Vanhaeren: Yes. At this time, I think in between 2x and 2.5x is still our desired level.
Eduardo Nieto Leal: Perfect.
Bart Vanhaeren: And your second question...
Eduardo Nieto Leal: It was on the refi plan...
Bart Vanhaeren: Refinancing, yes. So I think our strategy remains the same. We -- I like to raise local currency debt, so prioritize in-country local currency debt and repay U.S. dollar debt preferably at HQ from a capital allocation and from a risk perspective, it's just better, just even look at Bolivia, where historically, it was pegged to the dollar, but still we had our debt denominated in local currency, thankfully, because that helped tremendously navigate through this period. So we continue to do that. Now the M&A projects cloud our standard liability management a little bit because we have quite a bit. So we will use the Lati proceeds for the payments of the M&A. As you know, there's still $270 million to $300 million net cash proceeds coming in the next months from the Lati sales. We have our EFCF generation, 2/3 of that goes through our dividends and then 1/3 of the equity free cash flow is then still reserved for paying for the M&A. And then I'm actively raising debt in countries to pay for the rest. You saw the announcement of the IDB loan in Salvador, but also I'm raising local currency debt in Guatemala, in Paraguay and even already raising in Uruguay to anticipate the closing. So once all of that is kind of stable and paid, we'll look at our liability management. We'll make the required decisions. And you rightfully point out to our '27. This is our upcoming shortest maturity bonds, both in the Paraguay issuance and the SEK bond in Sweden. But at this stage, nothing to announce there yet. Then we have next question from Gustavo Farias from UBS.
Gustavo Farias: There are 2. So the first one on Colombia. We've seen recently WOM launching new low-cost mobile plans, which seem very aggressive. So just wanted to get a color on how you're seeing the pricing and the competitive landscape in the country. And if you could further comment on the regulatory agenda for the acquisition of the stake in Coltel. And the second one, if you could -- just a follow-up maybe on the question from Marcelo Santos. Considering the 5G rollout, which you're seeing all over Latin America, how do you see that impacting CapEx going forward?
Marcelo Benitez: Perfect. I will take the first part of the first question. You can take the second part of the first question. So basically, Gustavo, yes, WOM launched unlimited offer in prepaid for $7. Telefonica has already an even more aggressive offer in the market. So basically, what we see is in order to succeed in prepaid, our understanding and our experience has to do with not only pricing, you need to have a strong network and a strong distribution. We've seen this kind of behavior in many of our countries, as an example, Digicel in Panama. So these are very tactic offers. But since they are not complemented by network experience and channels, they are not typically sustainable because the customers are expecting the full experience, right? So on that side, I do believe that this is tactics, business as usual and not a long-term trend. On the second part, that is the regulatory, Bart?
Bart Vanhaeren: Yes. I think so in Colombia, we have -- well, 2 transactions basically in parallel, right? So on the one side, we have a minority partner, EPM. They announced a minimum price. They're now listing the shares on the local stock market to prepare for Phase 1 of Law 226, which is the privatization law in Colombia, after which they can raise launch Phase 1, which is to the Sector Solidario and then 2 auction to sell their shares. So the listing is -- should be done very soon, and then they will start Phase 1 to Sector Solidario. And there's no more regulatory approvals on that side. So it's more of a process-driven process. So on our side, we are discussing there with them our participation in that auction and how administratively we're going to execute on that. But obviously, it's an auction and other participants could be there. As soon as we have an agreement, we'll announce that, but this is an active discussion. So probably better not to comment more than this at the moment. On the other side, with Coltel, the first step there is for the government to release the minimum price at which they will be authorized to sell the process. They already have their shares listed. So then it's Phase 1 and Phase 2 of Law 226 process. We expect this -- the minimum price to come still in Q3. And around that time, hopefully as well, the regulatory approval for the merger, probably the regulatory approval in early Q4 and then both transactions to happen around year-end, probably slipping into Q1, considering the timing and the process steps that need to happen.
Marcelo Benitez: And the last question was now about 5G. The way we look at it is 5G networks needs to follow 5G devices penetration. In many of our countries, penetration of 5G over the total base are very, very low. I was managing the Panama operation when you walk the streets, you don't see any 5G phones on the counter because of the affordability issue, right? These are expensive handsets. Having said that, we do see that 5G devices are devices base are increasing in Colombia, in El Salvador and new operations like Uruguay. So when the demand is there because the handset has a capability, we will invest in 5G on a granular basis, right? Because these people are mainly in urban cities, and then we will expand following the device trend. Regarding auctions, we do have an ongoing auction in Paraguay. We are also on an ongoing auction in El Salvador, and we will always be active and proactive in participating in those auctions when the conditions and terms are there for us to participate.
Bart Vanhaeren: So the next question we have from Andres Coello from Scotiabank. Can you discuss further acquisitions on the pipeline? Are you looking at Telefonica subsidiaries in Chile, Mexico or like Puerto Rico business? Which company intends to separate? So I think, honestly, our first priority is to close on what we already announced. We have Colombia that's going to be a big integration. It's going to take a lot of our attention. And also, at the same time, a large opportunity for synergy. So there definitely -- a lot of focus will go there in 2026. First, we will have Ecuador and Uruguay. In a sense, it's adding 2 countries to our portfolio of 9. I like the fact to have this type of portfolio when you see the diversity kind of balance the risks out of each country. So this year, we had a huge impact, exceptional impact from Bolivia, a very significant impact to equity free cash flow. And still we can cover and stay within our guidance comfortably despite what's happening. Now we're going to add a dollarized economy and an investment-grade country. So this is going to even further improve the diversity with our portfolio. So are we looking at others? We will always have a peek at what is interesting. But -- and so if there are deals possible, yes, why not, but definitely not our focus right now and especially things like Mexico is probably too big for us at this stage and too complex. So let us focus on what we announced first. I think with this, we have no more questions in the queue. So with that, I would like to thank everyone and Marcelo for the quarterly results, and congratulations to all the teams who helped us deliver on these results. Thank you very much, everyone.
Marcelo Benitez: Thank you. See you soon.